Operator: Good afternoon. This is the conference operator. Welcome and thank you for joining the Rexel’s Fourth Quarter and Full Year 2023 Results Conference Call. As a reminder, all participants are in listen-only mode. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Guillaume Texier, Group CEO. Please go ahead, sir.
Guillaume Texier: Hi. Good evening to everyone and thank you for joining us today for our fourth quarter sales and the full year 2023 results conference. Thank you also for making yourselves available at an unusual time. As you know, Rexel usually communicates in the morning, but there were a number of other companies issuing results tomorrow morning. So to help make your lives easier, we moved the time of our call. We hope we are not spoiling your Valentine’s Day plan. I’m here today with Laurent Delabarre, our CFO. I will focus on a few highlights on our performance. Laurent will give you greater granularity on our numbers. And I conclude with a progress report on our strategic roadmap, as well as the outlook for 2024. So let’s begin on slide three with the main takeaways of 2023. This was a record year by many metrics, but equally importantly for me, it was also a year of significant progress in our strategy. Indeed, as we will see in greater detail in today’s presentation, almost all of our main metrics hit a historical high, like sales, profit margin and free cash flow generation with free cash flow conversion significantly above guidance. Among other highlights, we also continue to execute our value creating M&A strategy with very satisfactory results, as illustrated by Wasco in the Netherlands and we did that while maintaining a very healthy balance sheet. And this performance allows us to continue to be a very shareholder friendly company and we are proposing today to maintain our cash dividend at last year’s record level. So, all in all, there are many reasons for satisfaction as we look back at our 2023 performance. The Rexel team, so once again, proved their ability to deliver profitable growth and I would like to thank them for their engagement. What is particularly satisfying to me is that they achieved this in a more mixed environment in H2, where we faced a high 2022 comparable base with less of a booster from electrification categories. This is a great proof point of how resilient our model now is, benefiting from midterm megatrends and delivering high profitability. This puts us on a very sound footing to achieve our medium-term ambitions. I will discuss this in the latter part of my presentation. But let’s now focus in the coming slides on our 2023 key performance indicators that form the basis of our guidance. First of all, on slide four, we set a new sales record in 2023. Rexel’s full year sales came in at €19.2 billion, up from €18.7 billion one year earlier, representing same day sales growth of 4.3%. That’s perfectly in line with the upgraded guidance we communicated of growth in the upper end of the initial 2% to 6% range. The same day sales growth benefited from several megatrends, notably electrification in Europe, more in H1 than in H2, as we will see later, and reshoring and stimulus plans in the U.S. Our growth led us to post market share gains in many key markets, underscoring the strength of our full service value proposition and the advances we continue to make in the digitalization of our business. But what’s also very satisfying is that the acquisitions we have made, which have all been smoothly integrated are increasingly becoming a regular contributor to our growth and to value creation. Second key performance indicator, adjusted EBITDA margin on slide five. Here too, we were at a record level of 6.8%, above last year’s already record level of 6.7% once restated for the one-off gains in 2022. This is in the upper end of the upgraded guidance of between 6.6% and 6.9%. On a reported basis and excluding one-offs, it represents an improvement of 13 basis points driven by two main factors, firstly, operational excellence, and second, the accretive effect of our active portfolio management. And last but not least, free cash flow conversion on slide six. As you see on the graph, our free cash flow before interest and tax also reached a record, just shy of the €1 billion mark, demonstrating that the Rexel model is strongly cash generating. This excellent performance was the result of tight discipline in managing working capital, whether it’s for inventories in North America, credit across the group or capital expenditures. This translated into a conversion rate for our free cash flow before interest and tax of 73%, significantly above last year’s 61% and also way above our guidance of north of 60%. So, all in all, we fully achieved the upgraded guidance we communicated at the end of H1, confirming that Rexel has made a step change in terms of profitable cash generating growth. And with that, I will hand over to Laurent for a detailed look at our Q4 sales and 2023 results and then we return afterwards to talk about our strategy and our first take on 2024.
Laurent Delabarre: Thank you, Guillaume, and good evening to all. Let’s start on slide eight with the different building blocks of our Q4 2023 sales performance. Our sales of €4.7 billion were down 1.6% on a reported basis, notably impacted by an unfavorable 2.7% currency effect due to the variations of the U.S. dollar and Canadian dollar versus the euro. The currency impact is expected to be close to zero for the full year 2024, assuming spot rates remain unchanged. In the quarter, our acquisition strategy translated into a positive contribution of 2.1% net of disposals that more than offset the minus 1.1 actual day sales decline. The acquisition effect is mainly related to the impact of the Wasco acquisition in the Netherlands consolidated as of September 1st. Based on already announced operations, we anticipate now the full year 2024 scope impact to be close to 1.7%. On slide nine, you see the selling price impact and the breakdown of our sales growth by geography. First, the 1.4% same day sales decrease in Q4 included a broadly stable pricing contribution with non-cable selling price up plus 0.5%, offsetting copper-based cable price contribution of minus 0.4%. By geography, we saw good sales resilience in North America at plus 0.4%, while Europe and Asia-Pacific were down respectively minus 2.8% and minus 1.4%. I will detail Europe and North America in the next slide. So more specifically for Asia-Pacific, accounting for 6% of group revenue, our sales were down 1.4% resulting from contracting situations. Asia was broadly flat, improving compared to Q3 2023. China was helped by a favorable base effect due to strong COVID in Q4 2022, which offset the price deflation in industrial automation products from temporary oversupply. Pacific was down 2.4%, largely due to New Zealand, a country representing less than 0.5% of group sales, but where sales were down almost 19% in a recessionary environment for the third consecutive quarter. Australia, on the other side, did well, up 1% in the quarter. Slide 10 focused on our performance in Europe. Our Q4 2023 same day sales evolution was down 2.8%, mainly from challenging base effect in electrification, notably solar, with negative price and volume. Selling price remained positive on non-cable products overall, thanks to positive trends in our core products. You have all the details in the press release on a country-by-country basis, so I will just highlight the key evolutions of the quarter. By country, we recorded market outperformance in France, Germany and Switzerland, and also in the Netherlands, thanks to the Wasco acquisition. The situation remained subdued in Sweden and in the Netherlands, excluding Wasco. By end markets, the positive trends in industrial markets were mitigated by a lower demand in construction. On slide 11, we turn to our performance in North America, where same day sales grew by 0.4% in Q4. Overall positive volumes were mitigated by deflation on commodity-related products, and notably conduits, a situation comparable to Q3 2023. In the U.S., same day sales evolution to that minus 0.1%, with strong resilience in commercial buildings and industrial automation, as well as good backlog execution, driving growth in project activity. By region, we gained market share in Mountain Plains and Gulf Central. Canada saw robust same day growth of plus 2.9%, driven by both commercial and industrial activities. On slide 12, we see that we continue to enjoy a strong level of backlogs, which bodes well for the coming quarters. Similar to previous quarters, this shows the strong underlying demands reflected in good order intake and good backlog execution. Let me illustrate this with our backlogs in the U.S. and Canada, which you see on the graph. As you know, backlogs represent a material part of the North American business at around 2.7 months of activity and this gives us some visibility for part of our business in the coming quarters. Moving to slide 13, to show the sales bridge for full year 2023 before moving to profitability. Our full year 2023 sales of €19.2 billion were up 2.4%, thanks to a positive portfolio management impact, with a net effect between acquisition and disposal of plus 0.5% and an actual day evolution of plus 4.2%. This more than offsets the negative 2.2% impact from forex. Zooming on the organic part, the 4.2% actual day growth is explained by a 2% volume contribution boosted by electrification, notably in H1, both in Europe and North America, a plus 3.2% non-cable price contribution, with selling price on our core products more than offsetting the few pockets of deflation, and a minus 0.9% copper-based cable contribution, largely in North America. On slide 14, we show you now the building blocks that led to the record adjusted EBITDA margin of 6.8% in 2023. Excluding the one-off gain of 66 basis points, we reported an adjusted EBITDA margin of 6.7% in full year 2022. From that starting point, our adjusted EBITDA margin has improved by 13 bps to 6.8% from; first, a positive impact of 16 basis points from portfolio management, notably resulting from the accretive effect of the Wasco acquisition in the disposal of our activities in Norway. Second, a broadly stable evolution on a comparable basis that can be explained as follows, OpEx inflation had a negative impact, largely from salary inflation for minus 45 basis points and other costs for minus 34 basis points. The overall inflation stands at plus 3.9%, with 5.4% from wage increases and plus 2.3% from other OpEx, including building and occupancy, transportation and lease. And this inflation was more than offset by the plus 76 basis points positive impact from our action plans, and more specifically, our operating leverage in H1 2023, driven by electrification and our internal pricing, as well our productivity action plans in H2 2023, in a lower volume and pricing growth environment. And by geography, Europe posted an adjusted EBITDA of 7.2%, largely resulting from gross margin improvement and OpEx control, broadly offsetting OpEx inflation. North America, on the other side, posted an adjusted EBITDA margin of 7.4%, coming from operating leverage and productivity gains that have mitigated OpEx inflation. Asia-Pacific improved significantly at 3% from internal actions in Asia and tight credit control. On slide 15, we look at the bottomline part of our P&L, with a zoom on other income and expense, financial expense, tax rate and recurring net income. Other income and expense to that minus €45 million and can be split as follows; minus €24.1 million from acquisition and integration costs and capital loss on disposal, minus €10.3 million from goodwill impairments; minus €12.9 million of restructuring costs, largely to support logistic transformation in countries where we opened automated supply chain solutions. Financial expense to that €168 million, higher than last year, resulting from the rise in gross debt and interest rates. It includes €55.6 million of interest on lease liabilities and pure financial costs of €112 million. The effective interest rate increased to 3.7%, compared to 2.3% in 2022, and for 2024, we anticipate financial expense of circa €130 million, excluding one-offs and interest on lease liability, in a context of rising interest rates and assuming current interest rate condition remain unchanged. In addition, interest on lease liability should be close to €65 million in 2024, adding Wasco full year impact. So a total of circa €195 million of financial result expected for full year 24. Our income tax rates to that 26.1%, broadly similar to the 27 -- 25.7% in 2022, excluding one-offs, and for 2024 onwards, we anticipate the tax rate to be slightly below 27%. As a result, our recurring net income was €823 million, compared to €912 million in 2022, but this amount had benefited in 2022 from a record high inflation tailwind on non-cable products. Moving to cash flow on slide 16, we generated robust cash flow before interest and tax, reaching €996 million and free cash flow conversion of 73% above guidance. This record level of free cash flow generation result from our outstanding operational results combined with stable trade working capital to sales at 14.1%. This has been achieved thanks to good inventory management in North America, tight credit control across the group, as well as good control on CapEx, standing at 0.8% of sales in line with 2022. Also note that the change in non-trade working capital was an outflow of €104 million, significantly higher than last year, notably explained by the cash out of 2022 performance bonus and commission, especially in Q4 of last year. As shown on slide 17, post cash out of €429 million from net interest paid and income tax paid, free cash flow after interest and tax reached €568 million and was allocated as follows; a cash out of €561 million from net financial investment, corresponding to the net effect between acquisition, notably Wasco, and the cash received from the disposal of Norway; we paid €362 million in dividends related to 2022 results; we repurchased 134 million of shares in 2023 to offset free share dilution and reduce the number of shares and at the end of 2023, the number of shares to that 300.7 million versus 303.4 million in 2022. All this leads to an increase in net debt level of €503 million, reaching €1.9 billion and we maintain a healthy balance sheet with an indebtedness ratio of 1.33 times. Let’s turn on slide 18 to our balance sheet and liquidity picture. The year 2023 was very active in terms of financing. Let me share with you the main operations. First, we extended the maturity of circa €600 million of receivable securitization in France and Canada and started a new program in Australia. The whole of 2026 maturity. Second, on January 23, 2024, we signed a new senior credit agreement due January 2029 with the following terms; the amount stands at €700 million with a five-year maturity with an option to extend it twice by one year; we kept our core banks in the banking pool; we moved from a leverage grid to a rating grid more in line with investment credit; lastly, and as already shared in our Q3 presentation, we successfully issued in September a new sustainability-linked bond for €400 million due 2013. With our strong balance sheet and liquidity close to €1.5 billion, we have no short-term refinancing needs. On slide 19, we present our proposed dividend for 2023 financial year to be paid in 2024. Rexel will propose to shareholders to maintain the dividend at the record €1.20 per share paid last year, a level that is three times the amount paid in 2016. It remains, of course, subject to the approval of the Annual Shareholder Meeting to be held in Paris on April 30th. This represents a payout ratio of 43% in line with our dividend policy. It offers a 5% yield based on today’s share price. With this, let me now hand back to Guillaume to discuss our 2024 outlook and priorities.
Guillaume Texier: Thank you very much, Laurent. I would now like to provide you with a quick status report on the advances we have made in our transformation journey through the Power Up 2025 plan. Indeed, those good 2023 results were not obtained by luck or happenstance, but through action plans, which allowed us to gain market share and improve underlying profitability. This is a satisfaction for the teams and also for the CEO, but more importantly, this gives comfort that we will continue to deliver in the future. Rexel has a clear ambition to be a tech-driven, best-in-class B2B distributor. And as you see on slide 21, this rests on two main pillars, a solid digital organization and a state-of-the-art supply chain. We have made strong advances in 2023 in both areas. Digital sales account for 28% of the total in 2023, a 4-point gain over 2022 and in line with our objective of 40% in 2025, with seven countries already above this threshold. As for automated distribution centers, we have set a target of tripling them by 2025, and at the end of 2023, we had nine automated DCs versus six one year earlier. Let’s zoom in on those two pillars on the next two slides. As you see on the graph on slide 22, Rexel has been steadily ramping up on digital, and in Q4 of 2023, digital accounted for 30% of our total sales, 2 points above the average for the year, showing that the pace is even accelerating. In two key geographies, we have crossed symbolic thresholds, with Europe now exceeding 40% of digital sales in Q4 and North America crossing the 20% barrier. In fact, digital is becoming a way of life for our customers and our strengthened online presence combined with our physical branch network gives Rexel a unique value proposition. In all European countries, for instance, our full range of products is available in Day +1. The digital ramp-up is not just a self-driver that allows us to gain market share, but it’s also a reservoir of efficiency and productivity for our operations. And with gen AI, we are going to make a new step change, as it allows us, for instance, to improve segmentation and customer targeting, to enrich our data, optimize our inventory and further enhance productivity. Those are very exciting prospects. The second pillar of operational excellence is the supply chain and on slide 23 we provide you with three examples of newly opened automated DCs. Each fills a specific role within the country and those projects are therefore a good sample of why we invest in our supply chain. In Germany, the new distribution center located around Frankfurt allows us to expand our footprint and add inventory capacity. In Austria, the automated DC solution increases customer proximity and raises our service level around Vienna. And in the U.K., it has allowed us to switch distribution models and improve customer delivery to Day +1. In all three cases, we are targeting better service to our customers, therefore above market growth and also operational efficiencies for ourselves. A second key element to be a best-in-class B2B distributor is to focus on fast-growing markets, as shown on slide 24 and we are doing this in two ways. First, by positioning Rexel on electrification trends, where we aim to grow at twice the pace of our traditional electrical distribution business. In 2023, I would say mission accomplished, with growth of about 4.3 times in this segment. Second, by making acquisitions that position us in growth segments or in adjacencies that allow us to accelerate growth. We set a target of adding up to €2 billion in sales through acquisitions over the 2022 to 2025 period, and midway through the plan, we are at the halfway mark, with about €1 billion in cumulated sales added since our Capital Market Day in June 2022. Again, let’s double-click on these in the next two slides. On slide 25, we take a closer look at the evolution of electrification trends over the past few years. This is an updated version of the same slide I showed last year. What it highlights is how several drivers combined in the last three years to grow electrification. Energy prices, government policies and incentives, corporate net zero agendas and reshoring trends. In the midterm, I see each one of those trends strengthening. I commented last year on the International Energy Agency scenario, highlighting the fast growth of energy consumption in the next decade, photovoltaic panels, heat pumps or EV chargers. Nothing has changed here and we will benefit from this. What strikes me in particular is how strong corporate agendas among all drivers are now pushing ahead. This will drive the whole economy in the direction of accelerated electrification. Now, when it comes to 2024 specifically, we will have to face a high comparable base, especially in H1. All drivers are still there and active, but what we have seen in the last few months on the market is a little bit of a wait-and-see attitude, especially when it comes to PV. So in summary, a clear midterm growth engine, but a little bit less visibility in the very short-term. On slide 26, we look at our active portfolio management, and more specifically, our acquisitions, which have become a powerful growth engine in their own right. As you can see, since 2021 and through today, we have carried out a total of 11 acquisitions, acquiring in the process €2.3 billion in sales. Those acquisitions have contributed on average 4% sales growth per year since 2021. These transactions represent either synergistic consolidation that grows our market share in our core electric distribution activities or growth in adjacencies that strengthen Rexel’s portfolio in both Europe and North America. They are positive from a financial standpoint, with EBITDA margin of the net acquired activities above group average and a strategic one as we focus on fast-growing geographies and segments. We are very happy with those acquisitions, their timing and the way their integration is taking place. Overall, the synergy ambitions that we have set have been exceeded. So these transactions materially enhance the group’s growth and profitability profile and reinforce its capabilities to address the challenges and opportunities of the energy transition and electrification trends. All the elements I have described in the previous slides converge to deliver or even over deliver the financial targets we have set, as you see on slide 27. I will not dwell long on this as we presented this in the introductory section, but there are two main messages I would like to share with you. The first is that, Rexel is perfectly on track to achieve the medium-term ambitions that we announced in 2022 at our Capital Market Day. Our performance both in 2023 and to-date since the launch of the plan is either full in line or above target. That’s the case, notably, with our same day sales, where we set a compound annual growth rate of between 4% and 7% on average over the 2021 to 2025 period and to-date we are at 9.2%. The second message is that this metric shows that Rexel’s upgraded model is profitable, cash-generating and resilient. Meeting or exceeding our financial targets also allows us to achieve another ambition we have set out, to be a shareholder-friendly company, and as shown on slide 28, we are not only full in line with our medium-term ambition, but have also made progress in 2023 versus 2022. We said we wanted to pay out at least 40% of our recurring net income as dividends, and for 2023, as Laurent just mentioned, the dividend we are purposing of €1.20 per share amounts to a payout ratio 43%, above the 40% we distributed in 2022. We also said we intended to carry out a share buyback program of €400 million over the 2022 to 2025 period, and we are halfway there at the end of 2023, up from 17% completed at the end of 2022. We will continue to implement our share buyback program with at least €100 million in 2024, seizing the opportunity of what we consider is a low multiple of our share. So Rexel is clearly walking the talk. Let me now turn to our 2024 outlook and let me begin on slide 30 by painting the backdrop in which we will be operating. Overall, 2024 will be a bit of a mixed picture in our market. Commercial construction, which accounts for about 40% of our business, should be quite dynamic, notably in North America, even if some sub-segments, like office buildings, will continue to feel the impact of interest rates. Industry, which is a bit under one-third of our exposure, will also see positive trends boosted by reshoring and stimulus plans in some countries. Residential renovation, which accounts for about 20% of our activity, will probably start to feel the impact of a slowing construction cycle, but this will be partly offset by energy renovation trends. And new residential, the remaining 10% of our exposure, will see continued weakness across Europe. Let me also remind you that we will be facing a high comparable base on electrification categories in the first half, but this will ease as the year progresses. And conversely, we will continue to benefit from a tailwind from backlog execution in North America. Again, this backdrop, as you see on slide 31, Rexel plans to continue to deliver strong and resilient profitability, benefiting from the continued positive effects of our optimization plans. In my two and a half years as a CEO, this has been the number one question in roadshows. Can you maintain your EBITDA percentage level? H2 proved it and 2024 will be another good data point. Indeed, Rexel has made a number of structural changes in the last -- in the past couple of years that are paying off. As I said, the improvement that we -- that was obtained through hard work and transformation, including a number of actions that we mentioned throughout today’s presentation. First of all, active portfolio management to focus on growing and profitable segments or geographies. Second, continued digitalization, which boosts our efficiency and productivity. Third, the continued rollout of targeted value-added service to drive market share gains and volumes. Fourth, our continued ability to pass through inflation to prices. And finally, very strong cost and cash discipline, which has become a Rexel trademark with outstanding results this year. So our level of profitability is solidly established and the good thing is that we can still progress from here, as many levels are still insufficiently optimized, as you can read in the second part of the slide. This is exciting for me, this is exciting for the teams and this should be exciting for you too. So how does this translate into numbers? On slide 32, you see our full year 2024 outlook. Concerning topline, we anticipate stable to slightly positive same day sales growth, while facing a high comparable base in the first half. Concerning profitability, we expect adjusted EBITDA margin to reflect the resilience I just highlighted, at between 6.3% and 6.6%. And we expect to continue generating strong cash flow with a conversion rate of EBITDA into free cash flow before interest and tax above 60%. To close, I would like to tell you that I’m very proud of our 2023 results. Our strategy is paying off, our transformation is delivering and we are demonstrating it quarter-after-quarter. This is the reason why we are entering 2024 with appetite, conscious of the mixed environment, but also very sure of our strengths. In conclusion, our performance today puts us in a very good place to achieve the 2025 ambitions that we presented in June 2022. These were encapsulated in the Power Up 2025 plan that is based on two main pillars, excelling on fundamentals on the one hand and striving to be a differentiated leader through a value-added offer on the other hand. Through our Power Up 2025 action plans, we have established a new baseline of performance and we will continue to deliver superior service to our customers and superior return to our shareholders. We remain fully focused on these drivers, and the action plans that we have are proving very powerful as our 2023 performance highlights. 2025 is tomorrow, so it’s time for us to update our strategic roadmap and I’m pleased today to extend an invitation to all of you to join us in Paris on June 7 for a new Capital Markets Day. We will, of course, provide you with full details in due course. So now, thanks for your attention, and Laurent and I are now happy to take your questions and I’m sure there are many.
Operator: This is the conference operator. [Operator Instructions] The first question comes from Martin Wilkie with Citi. Please go ahead.
Martin Wilkie: Yeah. Thank you. Good evening. It’s Martin from Citi. I had a couple of questions. The first one was on your pricing assumption. So we can see that non-cable pricing is still positive in the fourth quarter, but when you’re giving your revenue outlook for 2024, just how you’re thinking about pricing for next year, obviously, there are some parts that could be a little bit negative, but it sounds like you’re still quite confident that pricing overall can remain positive or at least not negative next year. So just the first question on pricing expectations? Thank you.
Guillaume Texier: Okay. On this one, yes, you’re right, Martin. On non-cable pricing, I will not talk about cable because the picture is quite clear on cable. On non-cable pricing, as we mentioned in a previous call, the bulk of our products is still in slight inflation mode. And when we talk to suppliers, it’s really what is announced and I think what is going to be implemented, a few percent of sequential price increase. No clear carryover because most of the increases in last year were mostly at the beginning of the year, but sequential price increases of a few percent. So that’s for the bulk of our business. It represents more than two-thirds of our non-cable categories. And there are a few categories which are probably going to be impacted by carryover negative pricing. I mean, you know them because we mentioned them before. Those would be photovoltaic panels on which we saw quite a drop in the second part of last year, which are going to have a carryover effect. Those would be also piping in the U.S. where we saw also deflation and that would be also automation in China. Those categories represent a little bit less than one-third, I mean, even less than that of our category. So, overall, yes, on non-cable, we anticipate to see a positive pricing overall for the year. Absolutely, a few percent.
Martin Wilkie: Thank you. I could just take a second question as well on your margin guidance. Obviously, a good robust margin outlook given the revenue outlook could be flat. Could you let us know what you’re assuming inside that, and obviously, wage inflation is presumably still something of a headwind for you, but it sounds like you have actions on productivity to offset that. If we sort of unpack how you’re looking to get that level of profitability if revenue is close to flat, it seems that you do have a lot of plans in place to offset some of these inflation items?
Guillaume Texier: No. Absolutely. I mean, first of all, I think, the right reference to look at margin evolution is probably more the profitability of 6.4% because H1 was impacted by relatively high volume as well as by some inflation effects which were not restated as one-offs because they were below our threshold of restating that. So H2 is a good reference to calculate from. And from this reference, you’re right that we are going to continue to see some cost inflation, but the cost inflation in reality is easing a little bit compared to what we have seen in 2023. So our anticipation for wages is something around 3% to 4%. And on global cost inflation, as far as we can see at this stage is around 2% to 3%. So there is going to be cost inflation, but it’s going to be a little bit less than what we had to face this year. On the other hand, the price effect is probably, as I said just in the previous part of the question, going to be relatively low, even though positive. So, we will have a difference to offset and that we have action plans in place in terms of productivity, in terms of optimization of the cost base, in terms of also pricing programs. All of that is contributing to offsetting to some extent the slight pressure, the slight erosion that we’re going to get from this effect. But overall, compared to the picture that we had last year, I think, we’re going to see probably lower price effect but also lower inflation effect. So, it gives a little bit more clarity on what the equation is in terms of EBITDA margin evolution for us.
Martin Wilkie: Great. Thank you. That’s very helpful.
Operator: The next question comes from Daniela Costa with Goldman Sachs. Please go ahead.
Daniela Costa: Hi. Good evening. Thanks for taking my question. I’m only going to ask one and it’s going to be focused on free cash flow and sort of when you look into 2024, do you still have some potential to destock inventories or how should we think about working capital progression after the progress you’ve done in 2023? Thank you.
Guillaume Texier: Yeah. Our level of inventory in terms of number of days is broadly in line with what we had at the end of the year before, slightly higher because of some spot effects in Europe. But overall, we are in line. So there is no excess inventory. In number of days, in total, in absolute value, we have reduced the level of inventory. Now, is there potential to reduce more? I mean, we are always very strict on cash control, on working on inventory, et cetera. Now, for the moment, so two parts to the question. The first part is, is there potential to continue to reduce inventory? Not substantially. I mean, we have done our job as the market was slowing down a little bit to reduce inventory. Now, in terms of cash generation, I think, we will hold to the guidance that we have given, which is the 60% of cash conversion. But maybe, Laurent, you want to give more details.
Laurent Delabarre: Yeah. Yeah. Really good work on the inventory. They are slightly up one day, but more phasing of a bit of slowdown in sales in Q4, overall, good work. Tight control on receivables also. They are up one day, but it’s mostly a cut-off issue with the end of December, the 29th being Friday. And overall, in our very good cash conversion of 74%, they are a bit linked to the slowdown in Q4 of around 6 points in that. So outside of that, we are still posting a very strong cash conversion this year and we get for 2024 to be above 60%.
Guillaume Texier: No. But what Laurent is mentioning is right. I mean, we are very proud of the cash performance of the fourth quarter. That being said, there is a little bit of mechanical effect linked to the slowdown, as you have seen in distribution several times when distribution slows down. So I think we can solidly guarantee that we are going to be above 60% of cash conversion. I wouldn’t promise that every year we are going to be at 73% or 74%.
Daniela Costa: Got it. Thank you.
Operator: The next question comes from Akash Gupta with JPMorgan. Please go ahead.
Akash Gupta: Yes. Hi. Good evening. I have two as well. The first one is on the building blocks for 2024 growth expectation of stable to slightly positive organic same day. So I see your growth in four electrification categories turned negative in Q4 and wondering if you can provide a split of what do you expect growth in these four categories in 2024 versus the traditional electrification business and how does it stack by region? And the second question is on, it’s more of a housekeeping that, when we look at adjusted EBITDA next year in 2024, what are the below the line items between adjusted EBITDA and EBIT in terms of how anything changing versus 2023 into 2024? You have given on interest and tax, but just wondering anything on PPA and restructuring that you can comment on? Thank you.
Guillaume Texier: Yeah. I will let the second part of the question to Laurent with a lot of courage. But on the first one, let me explain maybe a little bit qualitatively and then maybe give a few figures on what’s in the guidance. First of all, electrification, as you understood from our discussion, is a sizable short-term uncertainty. Last year, when we issued the guidance, it was an uncertainty also, but clearly screwed to the upside. Here we are starting the year in a different situation with a high comparison base firstly and also with public subsidies in many countries changing. We create question marks and a kind of a wait-and-see attitude from our customers. On what I would call the core business outside of electrification, we have seen a weakening in Europe, mostly in the last few months of the year, but we also know that the interest rate situation is probably at its peak and that its reversal may provide good surprises in the back end of the year. We also may have good surprises in the U.S. with the execution of the backlog, that’s not going to be a surprise, that’s a little bit mechanical and the IRA kicking into full speed in several industrial sectors. So many moving parts and this is the reason why we went for qualitative guidance. Stable is a crucial version, around zero overall, including a negative contribution of electrification. Slightly positive is the optimistic version and it means basically low single digits. And we will update the guidance throughout the year to give you more numerical clarity, but what’s really important is that, it doesn’t matter that much, as we are quite confident after this year and especially H2, that we are able to deliver a high level of profitability, whatever the scenario of the year. So maybe what would be useful is to remind you of what the contribution of electrification was last year quarter-by-quarter. I think it was basically in Q1 500 basis points, 300 basis points in Q2, 100 basis points in Q3 and negative or around zero in Q4, something like that. So now what I cannot -- I mean, that’s a carryover in one way. What I cannot tell you is the additional electrification business, because on a midterm perspective, I am absolutely sure and everything points in this direction, that those businesses are going to continue to grow at an accelerated pace. Now, as I said several times in previous calls, the road will be up, but bumpy. So on the below the lines items, the PPAs...
Laurent Delabarre: On the more technical topic, the PPA increased quite significantly this year, mostly linked to the acquisition of Wasco, where we have intangible assets, especially customer portfolio that are amortized with the P&L. But it should stay at this level in absence of any larger acquisition in 2024. And the below-the-line, there is no -- the ongoing logistic plan and then it’s more a kind of reserve that we have and I think you can count on around between €30 million to €40 million in terms of below-the-line items, a lot is not allocated yet.
Akash Gupta: Thank you.
Operator: The next question comes from Alexander Virgo with Bank of America. Please go ahead. Mr. Virgo, your line is open.
Alexander Virgo: Good evening, gentlemen. Thanks very much for the question. I wondered if I could just dig a little bit into the trends in Europe. It looks like you’ve seen a pretty material deceleration Q-on-Q on the volume. So that’s about 500 basis points swing and I’m wondering if you can just give us a sense for how much of that is driven by solar or electrification more generally, how much of it was actually sort of the legacy business getting weaker, as you alluded to in the answer to one of your previous questions and how we should think about that in terms of cadence and contribution from Europe over the coming 12 months, given how tough the comps are in terms of contribution from electrification in the first half of 2023? Thank you.
Guillaume Texier: Yeah. On the effect on Europe, I mean, first of all, remember that, yes, there is a -- when you look at the comparison between Q3 and Q4, there is a strong base effect, especially in the electrification topic. Remember that in Q4 2022, we had mentioned, I believe in the press release, that the contribution of electrification to growth in Europe had been 810 bps. So it’s a sizable hurdle to beat. We knew it would be very hard to beat and that’s especially the reason why we flagged it as from July. If you look at the Europe total volume effect of, I think, minus 4.2%, you have approximately, if you do the math, a little bit less than half of that, which is the impact of electrification on Europe, because as you know, electrification is bigger in terms of proportionally in Europe. So I hope it gives you a little bit of color. But on the rest, it is true that Q4 saw a slowdown on top of that in a few markets, which is not unexpected, as it is a mechanical way for the interest rate increases to have an impact and to cool down a little bit the economy. And as I mentioned in my initial remarks, we saw that in new construction. That’s not a new thing. New construction, fortunately, we’re not very exposed, but we saw a clear effect and a continued clear effect and we started also to see some effect in the part of renovation, which is connected to home transactions, for example, or in some segments of commercial buildings, like, for example, office buildings. So we clearly saw a little bit of deceleration there. Now, I didn’t get completely the second part of the question, but I had the impression that it was a little bit about the phasing of all of that for next year and the comparison base for next year and I would come back to what I just said about the electrification-based effect, because for the rest, it’s going to be business as usual in reality. The electrification-based effect is the only one which is very non-symmetrical between H1 and H2, much stronger in H1 than in H2 and I just gave the order of magnitude of the figure of how it contributed last year.
Alexander Virgo: That’s very helpful. Thank you, Guillaume. And I wondered if you could just touch maybe on a little bit of color as to how January starts, given the exit rates more generally are obviously a lot slower into the end of the year.
Guillaume Texier: Yeah. So January is starting a little bit slow for two reasons. One is that, it’s a very high comparison base once again. And the second one is that in Europe, we had a slow start of the year with what happens frequently in winter, which we had one-off events, I would call them, like snowy weather in several countries for a few days and farmer strikes here and there contributing a little bit the activity of our customers. So in North America, we saw slightly positive volumes picking up as the month progressed. And on the price side, slightly negative because of cable and PV panels, but positive if those two effects are neutralized. So, overall, fully in line with our scenario, we may be slower than what we would have wished start of the year in Europe, but mostly because of one-off effects and the market being a little bit slow to start, which happens from time-to-time in the first part of the year and the beginning of February is proving slightly better. But that being said, I want expectations to be of the base effect, it’s very likely that Q1 is going to be negative.
Alexander Virgo: Very helpful.
Guillaume Texier: But that doesn’t change. Oh, sorry, Alex, continue.
Alexander Virgo: No. No. No. It’s all clear. Sorry, I thought you’d finished. I was just saying thank you very much and have a good evening.
Guillaume Texier: Okay. Okay. Okay. No. No. I was going to say that it’s not because I just said that Q1 was likely going to be negative, that it says anything about the guidance. I mean, the guidance integrates all of that.
Alexander Virgo: Understood. Thank you very much.
Operator: The next question comes from William Mackie with Kepler Cheuvreux. Please go ahead.
William Mackie: Yeah. Good evening. Congratulations. Good year end and year. A couple of questions, probably for more detail. The first one, perhaps, just conceptually, looking at the Asia-Pacific region, although it’s the smallest, what would it take to get the whole business back up to returns that you see across the other two regions? I mean, is that even possible without a capital allocation plan of perhaps inorganic moves? That would be the first question. And the second, maybe you’ve already scoped it, but can you qualify the size of the electrification business as you annualize revenues as you end the year? I got dropped off the call, so may I have missed that.
Guillaume Texier: Yeah. Easy questions for both of them. In terms of Asia-Pacific, Asia-Pacific, we are relatively happy. I mean, Asia-Pacific is a tale of two stories. I mean, there is Asia and there is Pacific. In Asia, it’s mostly India and China. We are relatively happy with our performance in India and China this year. As you know, those countries are completely focused on industrial automation, because we feel it’s the wise thing to do, to be really focused on the place where we add the most expertise and the most added value. We have progressed well compared to the previous years where we had had a few bad debt issues, a few margin issues, et cetera. This year was fairly much a clean year, despite the fact that China didn’t restart as fast as what we would have liked it to be. But it was an okay year. I think in those two countries, we have the potential to go maybe to the profitability of the old Rexel, but maybe not to the average profitability of the new Rexel, because at the end of the day, what you’re doing is a tradeoff between high growth rate and those countries are extremely attractive in terms of growth rate and margins, which are a little bit under pressure, and that’s life and that’s a capital allocation arbitrage and we are fine with that. We can still progress. But I think we had a good year. And then there is another part, which is Australia and New Zealand, on which we have those are part of the country. I mean, when we talk about our potential to further enhance profitability in the future, we always mention that there are a few countries on which work is still in progress to bring them to the level of the rest of Rexel in terms of processes, in terms of supply chain, in terms of sales processes, in terms of pricing, et cetera. And we are doing that in those two countries with interesting progress, but we are not there yet, but in those two countries, we have the potential to get to the level of profitability that we have in other countries of Rexel. Now, how long will it take and it’s always hard work to turn around the country. We are progressing, we are on this path and we saw interesting evolutions in 2023. I’m not ready to give a precise timeline on when Australia and New Zealand will be at the profitability of Rexel. On the second part, on the second question, electrification represents 23%, I believe, of our sales in the -- on the full year. And what’s very interesting, and I think, I said that before, is that, when we do that, for example, we count solar panels, mounting systems, inverters, batteries. But what we don’t count is the electrical panel, which is necessary. We count EV chargers, but we don’t count dynamic management of energy that you need to put in place in a given building if you want to manage 100 or maybe not 100, but 50 charging stations. So, what’s interesting in those categories is that those 23% probably carry with them a higher proportion of our business and will continue to increase in terms of the proportion of our business, which is exposed to that.
William Mackie: Super. Thanks for the clarification. Good evening.
Operator: The next question comes from Aurelio Calderon with Morgan Stanley. Please go ahead.
Aurelio Calderon: Hi. Good evening. Thanks for taking my questions. I have got two if I may please. The first one is on, I think, you’ve talked about market share gains in some European countries. Can you talk about why you think you’re gaining share? Is it because you’ve got your DCs now in bed place and what is it, is it because of your exposures, M&A, what’s driving that? And I think the second question would be around, you’ve talked about the action plans giving you almost 80 basis points of kind of margin up like this this year. Can you talk about how much of that is operating leverage and how much is taking cost out or being more efficient if possible? Thank you.
Guillaume Texier: I will leave the second part of the question to Laurent because it’s difficult and so I will let him time to think about the answer. But on the first part, yes, it’s true that we have seen market share gains in several countries. And it’s a mix of several factors, you need to -- it’s not one recipe or else it would be too simple. You need to have, first of all, the logistics right. You need to have the right assortment. You need to have the right delivery promise to the customers, because at the end of the day, that’s still the number one reason why they are buying from one distributor or from the other and that’s the reason why we are investing at accelerated pace in our distribution centers. That’s one thing. But you also need to provide the right expertise, because what’s interesting is that year-after-year we provide more expertise for our customers. We design solar systems for them. We audit their plans to -- audit the obsolescence of industrial automation, PLCs, et cetera, et cetera. There is an evolution in this direction where distribution is providing more and more services and we have hundreds of services and our plan is to talk a little bit more about that at the Capital Market Day. But we are providing a value added which goes way beyond logistics and financing today. When you do all that right and you also have the right digital tool, and more importantly, because at the end of the day, it’s all about that, more importantly, the right people, you are able to gain market share. But I would say the right people is very much linked with all the rest. I mean, you attract the right people when you have all the right tools to serve the customer well. And there is a kind of virtual circle in which you put all of those building blocks together and then you enter into a positive spiral and that’s what we have been successfully able to do in several countries and we really hope to be able to continue to do that in the future. The reason why we are not gaining market share is certainly because of price. We’re not buying market share and it’s not our intent to do that. Our intent is to earn it through service, through relationship and through efficiencies provided to our customers, because at the end of the day, the customers, they want to be nice with us, but they want us also to improve their efficiency, when we provide accelerated logistics, when we provide expertise, et cetera, that’s what we are doing. We allow them to gain time and to focus the time of their valued installers, to focus them on what they are good at and what they are paid for, rather than doing side jobs that the distribution can do. I don’t want to minimize our role and to say that we’re only doing side jobs. But we see that as our mission to gain time for our customers and to facilitate their life. And I think that’s the reason why we are gaining market share and I think that’s the reason why we are confident with all the action plans that we are putting in place that we may be able to continue to do so. Laurent, there was a question on where does the profitability improvement come from?
Laurent Delabarre: Yeah. So we have good operating leverage in the first half, boosting by all those electrification trends, bringing volume and also good pricing and we had a good, what’s called the operating leverage drops through on those. And in the second half, we start to be very cautious, having seen some first sign of a big effect on lower topline and we implemented some cost saving action in order to protect the bottomline. So it’s a country-by-country work in Europe. When we start to be below certain level, we activate those plans. It’s discipline on cost. It’s the productivity. We are also helped by the action plan we have on digital, where at one moment we can improve the productivity on some level. And on the other side, we were able also to hold on our gross margins through good pricing initiative and good level of rebate from our supplier as well.
Aurelio Calderon: That’s very helpful. Thank you.
Operator: The next question comes from Nick Amicucci with TD Cowen. Please go ahead.
Nick Amicucci: Good evening, everyone. Just had a quick couple of, just wanted to get a sense, order of magnitude from what seems to be step kind of a decline in the first half of the year to the second half of the year to arrive at that slightly positive to flat type of revenue cadence for 2024. And then also wanted to kind of hone in a little bit further on kind of the solar exposure in Europe. I wanted to understand better, how big of a market is the Netherlands for you, if at all? Just because we’ve heard from some of the solar companies that, just given the uncertainty leading up to the Dutch Congress on Tuesday, there was some significant slowdown in that market.
Guillaume Texier: Yeah. I can take the second one. I’m not sure I understood completely the first one, but maybe Laurent understood it and so he will be able to answer. On the second one, the solar business for us, it’s approximately, if I simplify, it’s approximately €1 billion business overall at worldwide level and it’s quite diversified in terms of country. The biggest one, surprisingly enough, would be the U.S. and then you would have a bunch of countries between €100 million and €200 million. The biggest one of those countries would be Germany, and then you would have Netherlands, Sweden, Belgium, France. But any individual country is not that big an exposure. I think Netherlands might be between €100 million and €150 million of solar solutions. So -- and Netherlands is one of those countries where we are seeing a wait-and-see attitude. So we’ll see what the -- how the year unfolds, but there is no major exposure there in terms of one given country. And maybe to finish on that, say that in terms of inventory, because we sometimes have the question in the price of solar panels is hard to drop. I mean, first of all, you have seen that there was no meaningful effect in the EBITDA margin on that, because we are extremely tight on inventories. We try to manage, as well as possible the inventory that we have and to negotiate with suppliers, price clauses, which protect us. So basically, on inventory, I think, solar must be €150 million of solar panels, something like that. So a small level of inventory. Laurent…
Laurent Delabarre: Yeah. On the phasing of the sales between H1 and H2, as stated in the guidance, H1 2024 will face a more difficult base effect and I anticipate the trough to be reached in Q1 and to be slightly below where we are in Q4 2023. And this performance will then improve throughout the year, as mostly the base effect from electrification will ease, and I think you mentioned it, but we have a contribution of the electrification of 560 bps in Q1, 310 bps in Q2 and 110 bps in Q3. So it will be a help throughout the quarter. So it will be as we have phrased it a kind of back loaded sales profile.
Nick Amicucci: Great. Thanks. And then if I can just fit one last one in, because we did hear from a large competitor in the U.S. on Tuesday that they were seeing some issues in the stock and flow dynamic within their -- specifically within their stock and flow dynamics within the U.S., relative to their more, I guess, systems-based or more longer lead time projects. I just wanted to get a sense, are you guys seeing anything like that, it seems like you guys have done a slightly better job or if not a much better job, of inventory management within the U.S., but just wanted to get a sense if you guys are seeing any pressures like that?
Guillaume Texier: No. I will be very clear. No, we’re not seeing that. We’re not seeing that at all. And I didn’t analyze in detail the results and the control of this competitor, but we have not seen an effect like that. And as I told you, even at the start of this year, North America is still in positive territory and doing reasonably well, so.
Nick Amicucci: Great.
Operator: The next question comes from Andre Kukhnin with UBS. Please go ahead.
Andre Kukhnin: Hi. Good evening. Thank you very much for taking my questions. Can I just start with one on potential H1 versus H2 cadence for 2024? Taking into account what you said about the high base effect and some underlying slowdown, if we are in a scenario where you are going through a negative volume backdrop and potentially negative organic growth, do you think you can deliver margins in the range that you’ve got it for?
Guillaume Texier: Probably towards the bottom end of the range in H1, and in H2, probably, in the top end of the range. I hate to give guidance by halves, but I just did so. No, but it’s not a guidance. But, yes, we think that we can be around the bottom of the EBITDA guidance for the first half, despite the fact that we are going to see high grains in terms of base effect, yes.
Andre Kukhnin: Thank you. I appreciate that. And this cost action that you mentioned that you undertook in the second half, did they accelerate through the second half and are you kind of stepping up further on these in 2024 or is that something that you did in Q4 and it’s now sufficient?
Guillaume Texier: No. We continue to improve on that, we continue to optimize and to have optimization actions everywhere. I will take an example which was on the slide. When we did a distribution center in the U.K., we took advantage to optimize the network, because it was before haven’t spoke a [ph] way of organizing the logistics with many branches involved in logistics. Now we are able to optimize a little bit that and either to take people out or to refocus them on more value-added tasks. So that’s the kind of thing that we are doing and we are doing that a little bit everywhere on a continuous basis. It’s not because the market would be -- because at the end of the day, the market is still relatively good. The level of activity is still relatively good. So I think it’s an ongoing optimization that we are progressing with since three years. And so if needed, we can accelerate, if the volumes drop, then we will accelerate that. But for the moment, we are steadily implementing our cost reduction plans.
Andre Kukhnin: Thank you. And if I may, just last one, because I’ve had too much of a chance to go through all the numbers and I haven’t seen the full slide deck. But if we just look at your gross margin evolution in the second half year-on-year, we see down 50 bps and I think there was a one-off in the comparable period in the second half of 2022. Can you just walk us through kind of a gross margin bridge? What happened year on year there in terms of the one-off effects versus the underlying?
Guillaume Texier: Yeah. In 2022 and in 2021 or so, we have this one-off gain on very high inflation on inventory that we can sell at, we can buy at a lower price and this is a one-off that disappeared in 2023 and was present in both H1 and H2, and that needs to be restated when you look at the comparison. So on a full year basis, on the EBITDA margin, it’s 66 bps, it’s more around 90 bps on the gross margin and then we have additional costs to make this 66 bps on a full year basis and the impact is about the same between H1 and H2.
Andre Kukhnin: Okay. So we split it, oh sorry, 90 bps per half. So the nominal gross -- total gross margin went down by 60 bps, but if you take 90 bps one-off, it was actually up 40 bps, is that right?
Guillaume Texier: No. The EBITDA is dropping on a full year basis by 66 basis points and this is something like 90 bps -- the one-off is 90 bps in the gross margin and the difference in additional OpEx to reach a 66 basis point, because on this additional gross margin one-off, we had also additional OpEx, mostly the incentive of the sales guys.
Andre Kukhnin: Okay. Great. I think I’ve got all the inputs. I’ll go back to the model. Thank you very much for your time.
Operator: The next question comes from Alasdair Leslie with Société Générale. Please go ahead.
Alasdair Leslie: Yeah. Hi. Thanks for the question. Good evening. So just a follow-up on the incremental pricing in 2024, the comments you made earlier and I think you said that could be a few points, I think. I just wondered if we could confirm that was the message. It sounds reasonably high to me, just given the trends in 2023, but maybe that was a kind of a gross number before some of the deflationary categories.
Guillaume Texier: Yeah.
Alasdair Leslie: And then maybe some more color on your visibility there, please. What kind of price increases have you already been pushing through, perhaps, and what kind of conversations have you had with your suppliers?
Guillaume Texier: Yeah. Sure. I don’t want to be -- that’s a good opportunity to correct what I said when I said a few points, because a few points can be high. Basically, what we are -- there are three categories. There is cable, there is what we call commodities and there is the non-commodities. Cable, it represents 17% of our mix overall. You’ve seen the pricing evolution. We are starting the year in slightly negative territory and it will depend on the corporate price, basically. On the commodities part, we have a carryover effect, which is linked to a few categories that I mentioned, which are, I mentioned them, piping, solar panels, et cetera. That represents, I would say, something like…
Laurent Delabarre: 12%, 13%.
Guillaume Texier: Yeah. Something like a little bit less than 15% of our business also and here we are going to have a slightly negative carryover effect. On all the rest of the categories, we are seeing price increases announced by the suppliers that we are pushing and the range is usually 1%, 2%, sometimes it goes up to 4%, but I think the median is probably between 1% and 2%, something like that. Now, how much is going to be realized? I don’t know. But that’s a little bit what we are seeing.
Alasdair Leslie: Great. Thanks. Thanks very much. And maybe just a quick follow-up question, just a confirmation on the margin guidance. Are there any kind of effects from portfolio management kind of data into your assumptions for 2024? Is it effectively sort of all organic?
Guillaume Texier: Not meaningful, no. We are going to have a full year of Wasco, but it was pretty much at the profitability of the group, so it’s not going to be meaningful, no.
Alasdair Leslie: Great. Thank you very much.
Operator: Next question comes from Miguel Borrega with BNP Paribas Exane. Please go ahead.
Miguel Borrega: Hi. Good afternoon and thanks for taking my questions. I’ve got two. The first one, just on the growth guidance, just revisiting your comments. So just based on the exit rate of Q4, negative organic growth in Europe, flattish in North America. I’m just wondering where you find comfort on positive growth in 2024. You already mentioned you expect negative growth again in Q1, but why wouldn’t volumes continue to decelerate at the current exit rate? And then on pricing, again, with no carryover in 2024 and if you weren’t able to raise prices in the second half of 2023, what gives you the confidence you can in 2024 without losing for the volumes? That’s the first question.
Guillaume Texier: That were two questions, Miguel. The first -- on the first one, it was a question of base effects. We are talking about electrification and electrification was a strong contributor in the first two and even three quarters of 2023. And as I said at the beginning of the call is, based on this base effect, it’s going to slow down. So even if you make the assumption, which I wouldn’t make, but if you make the assumption that electrification categories are going to remain stable, you’re going to see an improvement throughout the year. So that’s mostly what we are talking about and when you look at the minus 1.4%, as we mentioned, there is a negative component of electrification in there. So, that’s one thing and I think we mentioned also the fact that, in the U.S. we have a backlog to execute. And so, overall, I think that’s what base is, our assumptions for the year, but there is no mystery. It’s not projecting a strong recovery of the economy in the world. It’s just projecting us doing our job, and in the same time, the base effect is mechanically decreasing throughout the year. On the pricing side, the price increases at the beginning of the year. That’s as simple as that. We experienced two years in 2021 and 2022 where we had several price increases a year. But in 2023, just like in 2024, we went back to a more normal situation where we usually have a price increase through the year. So it’s just normal that you would see more sequential price increases at the beginning of the year than in H2. So the reason why we are confident with that is, I mean, we have the price announcement of our suppliers. We know what they want to do. I mean, you can ask them the question during their calls, maybe they’re going to have a different vision. But for the moment, that’s what they are doing and that’s the reason why they are doing that is also because their own costs in 2023 have increased, especially for the more technical stuff where there is a high content in salaries and wages. They have experienced inflation and they have to push it to the market, and so, as you know, we have a good track record in terms of transferring that to the market. So, I think our assumption, both in volume and in price, are fairly reasonable and I’m very comfortable with that. I mean, we are not projecting anything spectacular in terms of evolution, but just a continuation of what we are seeing in the market right now.
Miguel Borrega: Okay. Thank you. And then just maybe following up on that and going to the gross margin, can you maybe talk about if you’ve had any impact on supplier volume rebates on the gross margin, and then, if you had none, what then explains the gross margin contraction, I mean, I presume your pricing now is below that of your supplier. So how do you see gross margins evolving in 2024? I’m just trying to understand why would the second half of 2024, you would see a sequential margin increase versus the first half. What are you essentially expecting in terms of the gross margin versus SG&A?
Guillaume Texier: So maybe a few comments on your question. First of all, on the supplier rebates, knowing we have not seen any specific impact, it’s the job of a distributor to make sure that the supplier rebates stay at a good level and I think we have managed to do that and we’ll continue to manage to do that. In terms of gross margin evolution between the first part and the second part of the year, I think, I mentioned that in my introductory remarks. In the first half of 2023, we had a slight inventory effect, which is what we restate in one-offs when it exceeds a certain threshold, but we don’t restate it in one-offs when it’s below that threshold, and because we had sequential pricing created in the first half of the year, we had this effect. On the rest, we are experiencing some kind of price pressure from our customers, but we are transferring that because it’s our job as a distributor to the suppliers and we’re doing a good job at doing that. So I think that’s for the first part of the year -- of the question. The second part, I think, was about my comments on the EBITDA margin between H1 and H2. It’s mostly about volume. There is a drop-through effect. When you have higher volume, you have a drop-through effect on the EBITDA margin at the end of the day, because you absorb the fixed cost a little bit better. That’s as simple as that. So that’s the reason why we feel that because of the volume situation, because of everything that we discussed, it’s going to be a little bit tougher in H1 than in H2, we may have a margin a little bit more under pressure in H1 than in H2. I hope it’s clear.
Miguel Borrega: Very clear. Thank you very much.
Operator: The next question is a follow-up from William Mackie with Kepler Cheuvreux. Please go ahead.
William Mackie: Yes. Thanks for that question. Just one, could you walk through your assumptions around development for SG&A expense, maybe by region or for the group, as you go into 2024 versus 2023? I mean, what sort of inflationary headwind will you be facing from elements such as the transportation distribution and wage elements?
Guillaume Texier: Maybe, Laurent, you can give orders of magnitude.
Laurent Delabarre: Yeah. Yeah. We don’t give it by region, but overall for 2024, on the pay rise, we expect to have something around 3% to 4%, a bit less than what we experienced in 2023. And for the rest of the cost, which are mainly building and occupancy, delivery, vehicle, packaging and so, we are in the range of 3%, slightly below between 2% and 3%, depending on the region.
William Mackie: Super. Thanks, Laurent.
Guillaume Texier: Overall, there is no category which is outstanding. I mean, we are -- for all categories, we are going to be in this ballpark basically we think.
William Mackie: Thanks so much.
Operator: Mr. Texier, there are no more questions registered at this time.
Guillaume Texier: No. Thank you very much. And we will see you -- we will talk to you in the Q1 turnover conference call, and hopefully, we will see you at the Capital Market Day, at least a big number of this group to talk a little bit more about strategy and about the road going forward after this good year 2023. Thank you very much and have a good evening.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephones.